Operator: Good morning, everyone, and thank you for waiting. Welcome to GOL Airlines Third Quarter 2013 Results Conference Call. With us here today, we have Mr. Paulo Kakinoff, CEO; and Mr. Edmar Lopes, Chief Financial and IR Officer. This event is being recorded. [Operator Instructions] This event is also being broadcast live via webcast and may be accessed through GOL Airlines' website at www.voegol.com.br/ir, where the presentation is also available. Participants may view the slides in any order they wish. The replay will be available shortly after the event is concluded. Those following the presentation via the webcast may pose their questions on our website. They will be answered by the IR team after the conference is finished. Before proceeding, let me mention that forward-looking statements are based on the beliefs and assumptions of GOL Airlines management and on information currently available to the company. They involve risks and uncertainties because they may relate to future events and therefore depend on circumstances that may or may not occur. Investors and analysts should understand that conditions related to macroeconomic conditions, industry and other factors could also cause results to differ materially from those expressed in such forward-looking statements. Now I will turn the conference over to Mr. Paulo Kakinoff. Mr. Paulo, you may begin your presentation.
Paulo Sérgio Kakinoff: Hello, everyone, and thank you for joining us in our earnings conference call for the fourth quarter of 2013. Let's begin with Slide #4, there we -- where we highlight improvement in our operating results for the period. The EBIT margin for the quarter increased to 12 percentage points over the previous year, reaching 1.7% with an operating result of BRL 37 million. This result was driven by an increase in revenues of 12% reflecting the company's effort in managing price. Our costs were virtually flat from the same period last year, even with the devaluation of the real against the average dollar in 13%, and before the highest fuel price ever recorded in the history of the company, reaching BRL 2.43 per liter. In the first 9 months of 2013, we raised the level of revenues in BRL 244 million even with a reduction in domestic supply by 9.7%. We also reduced operating costs by approximately BRL 407 million that period. Thus, we reached a margin of 1.7% improving our revenues and costs. On Slide #5, we present the highlights that to go to this operational performance. The PRASK showed a significant growth of 21%, a result of the company's focus on seeking the combination of corporate clients who seek flexibility, punctuality and competitive rates with less adverse to flight, which means that as well as passenger chip [ph] for leisure we are improving our products towards those customers. This evolution has boosted RASK increase, which grew by 17%. Yields increased by 28.4% due to the increase in the volume of business passengers, given the actions taken by the company to increase the effectiveness of our service. This evolution has boosted RASK increase -- I'm sorry, compared to the third quarter '12, fuel consumption per ASK decreased by 6%, demonstrating our efforts on achieving a greater efficiency. We remain fully committed on keeping a high liquidity on GOL’s balance sheet. In third 'quarter '13, we reached BRL 9.0 billion, which corresponds to approximately 35% of our net revenues of the last 12 months. This position is critical to get through times of high volatility in the economy. Driven by the increase of the last 12 months EBITDA, we reached BRL 931 million, improved financial leverage from 15.5x in the second quarter of 2013 to 10.9x in the fourth quarter. On Slide #7, we present GOL Miles in Portuguese, which means GOL+, our new unique product proposal for São Paulo-Rio de Janeiro shuttle flights. Our customers can enjoy more space between seats. In the front rows, we offer GOL+Conforto, we've increased the distance from 30 to 34 inches between seats and has a greater recline. In the other rows, the distance increases from 30 to 31 inches. With these changes, GOL has the largest number of seats with the ACO from ANAC on shuttle flights. GOL+ comfort seats will be offered free of charges to Smiles Diamante and Elite Delta Air Line customers. This is another initiative to increase the effectiveness to business customers. Moving on to Slide #8. GOL was the leading company in punctuality in the domestic market during the first 9 months of 2013. Together with the concept of fast travel, which streamlined the boarding process and the ability to anticipate our flight by smartphones, we are strengthening our positioning in serving high-value clients. Additionally, we launched a new visual identity on the airports to simplify and clarify the communication at checking in stores. All this to serve our customers in an even better way and the -- and even more efficient company. Through that, we are even more prepared for the World Cup to take place next year in Brazil. All the new signage has been identified by its mutual languages displays. On Slide #9. We discussed in more detail the benefits of the GOL and Delta partnership. We seek more efficient ways to serve our customers with long-haul flights and distribute passengers on Delta cities. The companies combined have more than 400 destinations in over 62 countries. For SkyMiles and SMILES customers, GOL through its partnership, provides the possibility of accumulation and redemption of miles, access to VIP lounges at major airports, GOL+Conforto seats free of charges among other advantages. On Slide 10. We reinforces our commitment to maintain the profitability of our operations without losing the focus on the quality of our service. During the year of 2013, we remain with a total number of employees almost flat. Also during this period, we improved our punctuality in 2 percentage points reaching 9.4 -- 94.4% maintaining our leadership in the domestic market for the 9 months of 2013. Our satisfaction index, which shows an increase in the evaluation of customers' perception about their experience of the service provided by GOL with notes from 1 to 10 in over 30 airports reached an increase of 5% compared to December 2012 when it was started. The next Slide, #11, reinforces our commitment to efficiency in fuel consumption. Demonstrating a 6% decrease in consumption since the third quarter '12 and an increase in the price per liter, which reached BRL 2.43 per liter, the highest level in history. On Slide 13, our SMILES loyalty program has been strengthened even more. We had an increase in the number of participants, which reached 9.5 million, an increase of 7.3% in relation to third quarter '12. In September, the SMILES Club was created and in October, SMILES entered into an investment agreement with Netpoints, company specialized in loyalty program for retail market, in order to increase and strengthen the exposure to the segment, enhancing the growth of the product. I will now hand over to Edmar, who will present our result for the period.
Edmar Prado Lopes Neto: Thank you, Paulo. I will start with the Slide #15, and just in a nutshell, we're showing here the evolution of the company over the last quarters. This year, we have been the company which has shown depth let's say, who had advanced the most in terms of both RASK, in terms of revenues, as well as in terms of CASK. We have been able to increase our RASK on an 11% basis as well as keeping the costs under control. In the next page, this is a slide which is familiar to all of you. We show the evolution of the domestic ASK, in the bottom part of the chart, the gray part, as well as the evolution of the PRASK. And you can see that we have changed the partner, that is, with the single-digit reduction in terms of supply, we have been able to show a double-digit growth as for PRASK. By saying that, I will move over to the next part, which is #5 in Slide -- that's Slide 18. And what is important for us, it's really important to say that the results, the operating results came very much in line with the plan that the company has to recover the margins along 2013. So we have said that we are reassuring -- reconfirming our EBIT margin for the year. Kakinoff will talked about it a little bit later. But it is important to show that first, we have faced an all-time high level of fuel BRL 2.42 per liter. We have faced as well a devaluation of the real of 13%, and this has impact our results. On the expense line, we have highlighted that this is part of our strategy and therefore, we consider this in our operations. The gain that we have accrued from the sale leaseback operations that we had during the quarter. Again this year, we will show a total of 15 aircraft under this kind of structure. Next year, there will be 9 arrivals and all of the arrivals will be in the first half of the year, and that there will be also sale leaseback operations again. This is part of our strategy. Now going over the main drivers for the quarter is again, domestic supply is down year-over-year by 7%, almost 10% in the 9 months of 2013. We think this is absolutely necessary for the market to reorganize itself. On the revenue side, we posted an advance of roughly BRL 250 million. It's quarter-over-quarter. On the ancillary revenues, I would like to highlight that we have shown a decrease, and this is primarily due to the fact that SMILES now is accounted on the passenger revenue. So this is what is affecting the line. On the costs side, we are flat quarter-over-quarter. And year-over-year, we have still BRL 400 million approximately as a gain over the period of last year, although we have faced tougher environment. Our EBIT came to BRL 37 million, which is an improvement of more than BRL 200 million over last quarter, over the same quarter last year. And as for the 9 months of the year, we are showing a gain of over BRL 650 million showing the effort that the company has made over the last quarters. On the financial results, we -- the main reason that we are showing a higher expense year is related to hedge. On the third quarter last year, we had -- we posted a gain on the hedge, BRL 44 million, and this year, we recognized a loss BRL 41 million. I will make a break here to go over the hedge. The hedge for us is a protection policy that we have here. So we are not speculating. You can see over our financial statement in our press release, Page 17, that we have increased our positions. We are carrying now roughly USD 760 million as an FX position for the company. 70% of those are in the short-term with an average price of BRL 229 per dollar. And the remaining 360 are protecting expenses for the next 9 months. So again, we saw a loss at the end of the quarter. Nowadays, we're seeing a gain. This is related to the volatility of the real against the dollar in the recent past. We have been very conservative in terms of policy, in terms of position. We have increased our position significantly over the last quarter. And this is primarily due to the fact that we don't see, let's say, any relief from the volatility going on 2014. If you ask me whether we will keep the USD 700 million for the next year, for the next 3 months, I would say it depends a lot on our view of the market. We are carrying a position to protect the budget and the results that we are committed to show the market. Now going on to Page 19. With just a chart that shows what we have been discussing, that is again over the expense side -- expenses side up BRL 400 million, which BRL 170 million came from the efforts that we're making on the fuel side. As well as BRL 200 million -- and roughly BRL 250 million from the revenue side again showing an increase in the margin. Moving to Page 20. Again, we highlight that keeping liquidity high is a pillar of our financial strategy. BRL 2.9 billion is the largest position of the company in nominal and proportional terms. And this is, we think, this is a chest, this is a fortress that we have for the volatility that we're still facing. On the next page. You will see that combined with the cash that we carry, we have a very, very comfortable amortization profile giving us no pressure on the short-term. We have only, let's say, the local debenture, which is due in 2015, we have already started discussions with the banks about that, especially over the covenants for the end of the year. The conversations -- the preliminary conversations were very good and we do expect to have news until the end of the year. Therefore, there would be no liquidity event of any kind in the next future. Moving on to Page 22. This is my last slide here. It's just addressing the leverage. And since the start of the year when we post-out the guidance, we have been telling the market that leverage will come down for 2 different reasons. The first one was the injection of resources through SMILES IPO and the sale of Miles in advance to the banks. We did that in the first half of the year and now, in the second half of the year, we are posting gains over the margin, therefore, the leverage is coming down on a 30% basis quarter-over-quarter. EBITDAR is 3x bigger at this time of the year than last year. And again, getting to the midpoint of the EBIT range that we gave the market that is 2% EBIT margin for 2000 -- for full 2013 where we'll bring us to an EBITDAR level of 1.2, 1.3 according to the airlines that follow us. Therefore, deleveraging the company even further. By saying that, I will hand over to Kakinoff who will go over our guidance and the announcement that we made for 2014. Kakinoff?
Paulo Sérgio Kakinoff: The cost of monitoring of microeconomic conditions in the market as well as the speed of response and decision making strategy, use it throughout the year of 2013, led to the improvement in operating and the financial indicators this quarter and throughout the year. Thus, we reaffirm our commitment to achieving an operating margin between 1% and 3% in 2013. For 2014, we project the domestic supply at the same level when compared to the year of 2013 as the adjustments made in the domestic market has already led to the company's supply to upsize comparable with the economic focus for the next year. Thank you, all, for taking part. And we will now begin the question-and-answer session.
Operator: [Operator Instructions] Our first question comes from Jim Parker with Raymond James.
James D. Parker - Raymond James & Associates, Inc., Research Division: I have a couple of questions. Number one is, in the quarter you realized the fuel hedge gains of BRL 13.4 million. What proportion of that was realized in the third quarter and what proportion, of course, was mark-to-market?
Edmar Prado Lopes Neto: Jim, this is Edmar here. We have that in our press release. This is our Page 17, if I'm not mistaken. The fact that we do have hedge in accounting says that if we recognize it during the quarter this is related to the fact that we use the fuel and the contract was due during the quarter, okay. This is on the fuel side. The losses that we are recognizing on that -- all the line on the derivatives line is that mainly due to the FX, okay?
James D. Parker - Raymond James & Associates, Inc., Research Division: How much then -- how much in the quarter of the BRL 13.4 million, how much was realized in the quarter, in the third quarter?
Edmar Prado Lopes Neto: The quarter -- the fuel was BRL 13.4 million. All of it was a gain, all of it in the third quarter. Okay? This is how we...
James D. Parker - Raymond James & Associates, Inc., Research Division: Was it based on fuel that you consumed in the third quarter, is that correct?
Edmar Prado Lopes Neto: Yes, absolutely. Because that's the way we account it. That's why we have hedging accounting. The [indiscernible] ...
James D. Parker - Raymond James & Associates, Inc., Research Division: Yes, there's no mark-to-market on future fuel hedging?
Edmar Prado Lopes Neto: No, no. This is go -- it goes for the OCI.
James D. Parker - Raymond James & Associates, Inc., Research Division: Okay. All right. My second question is would you just discuss the leverage points, you're -- on both the revenue and the cost side. You're obviously looking for improvement in your operating margin. So would you discuss the leverage points. You're not going to grow capacity, so what on the revenue side, where are the sources of the revenue? And then what are the sources of cost-reduction or how are you going to improve the profit margin?
Paulo Sérgio Kakinoff: James, here is Paul Kakinoff here. We are not delivering, as you know, guidance for the '14 but I can tell you that we still do see opportunities to further increase profit, mainly in the low sector side, and at the same time that we are keeping our discipline to keep the total cost amount at equivalent levels. So I mean, we believe that we can further develop our margins, our operating margins, by further improving our PRASK along the next year. Mainly or starting with, I'd say, the load factor opportunities, which are clearly available. And secondly, by improving our products towards the corporate customers. We have increased this customer’s profile share in our total sales and we have already the plan -- the second phase of that plan should be implemented all over the following months in order to improve their customer share in our total sales.
Operator: Our next question comes from Michael Linenberg at Deutsche Bank.
Michael Linenberg - Deutsche Bank AG, Research Division: A couple of questions here. I want to go back to your capacity forecast for 2014. Paulo, you mentioned that it would be stable domestically. How should we think about the split between domestic and international in 2014 versus 2013? Considering that there's been a focus to grow international at a faster rate or to grow it as opposed to keeping domestic stable, as a means to generate more foreign revenue? Can you give some additional details on that?
Paulo Sérgio Kakinoff: As previously announced, we are pursuing to increase our international revenues further. Therefore, this capacity stability foreseen for the next year is related only to the domestic market. So the international market, we believe that we will grow a high single-digit at least next year. We are not giving more information on that because as you know, there are some bilateral agreements between Brazil and the countries where we are beginning to fly, and we still are waiting for those allowances to formally announce new routes and markets, internationally speaking. There are, in parallel, we have some international routes asking for more already existing and asking for additional capacity. I mean, we can increase some frequencies to international markets. So at the moment, this is the forecast we can share.
Michael Linenberg - Deutsche Bank AG, Research Division: Okay. That's fine and then just another question, just to Edmar. You talked about taking delivery of 9 aircraft in the first half of 2014, and you indicated that they would then all be -- you would do a sale leaseback on all 9 of them. Does -- how does that impact your fleet? Or is that all -- is that incremental or is that replacement? And I apologize, since I just don't have the press release right in front of me now.
Edmar Prado Lopes Neto: This is primarily renewal. You'll see that our fleet plan for 2014 is 137 at the end of the year, and this is the leverage that we're taking for next year, and they are all funded. Remember that we have been discussing that. We have already all the lessors arranged and executed.
Michael Linenberg - Deutsche Bank AG, Research Division: Okay and then just Edmar, if I could squeeze in one last one, you talked about discussions with the banks about that, I guess, the debenture that's due 2015 and you were having, I think, you characterized it as good conversations. As we think about that and what you plan to do, is that -- that you will seek additional waivers or would you retire that debt? How should we think about that?
Edmar Prado Lopes Neto: Michael, first of all, the discussions will go over the covenant issue, which we were not in compliance the last 2 years. Again it's the same. We have a very positive view over getting a waiver with the banks. And this is how we have started the conversations, still preliminary and other roles you will see if we have room to do something else with the debt, okay. But the first thoughts primarily, getting a waiver for the covenants if needed.
Operator: Our next question comes from Duane Pfennigwerth with Evercore.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Just wanted to ask you about your comments about keeping more cash in USD. I think you said USD 700 million, can you just expand on that a little. It sounds like you're trying to reduce the net liability exposure in real, which would at least remove some of the FX volatility from your results. Can you just say sort of where you started from? Was your USD cash at 0 and now it's USD 700 million, and when did that change and where do you see that tracking going forward?
Edmar Prado Lopes Neto: Duane. I will clarify that. This is the hedge position that we have, okay. This is not cash, most of our cash is the real, in this hedging position for the current expression in English that we have agreed to buy and this is the protection. We're not leveraging anything. This again, the USD 760 million that I mentioned, is hedge position and we have increased our position over the last quarter, in order to face and to protect the company's results over the recent volatility that we have seen. This is, let's say, a temporary position. I cannot assure that we'll have the same position 3 years or 3 months down the road or 1 year down the road. We have a risk committee that meets on a regular basis and we discuss what to do over this hedging again. I repeat hedging position, okay? This is Page 7 of the press release, 16 is in English version. This is on the financial statement, it's Note 18. You will see our acquisitions there, including the average strike price for the FX.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Okay. That's great. And then maybe just a longer-term question as you think about the International business. Could you envision a day where GOL once again operates wide-body aircraft in support of long-haul international? And if so, what would you need to see with respect to your domestic business in order to even consider that?
Edmar Prado Lopes Neto: There's a simple answer for that question. There is no plan to operate wide-bodies in the company. Not at all.
Operator: The next question comes from Ricardo Alves of Morgan Stanley.
Ricardo Alves - Morgan Stanley, Research Division: Just wanted some more color on your management load factor maybe. Going forward, we saw this 68% load factor so far this year. Are there any initiatives like maybe stimulating demand for those more price-sensitive customers or some sort of better market segmentation that, you think, that could potentially take in order to recover your equipment occupancy over the long-term and also if you have any kind of sort of level where you feel more comfortable having your load factor over the long-term? That's my first question.
Paulo Sérgio Kakinoff: As we have mentioned before, we do see opportunity to further improve yields and PRASK. But still prioritizing, the PRASK recover instead of load factor only. What we have seen is that the company is now able to at least to keep the current yield level and simultaneously, improve the load factor. On top of that, how can we, how are we working to further improve yields? That goes through the subject you have just mentioned. We are working on the customer segmentations and delivering the specific products, not only in the commercialization side but I mean, the product itself, to better address each of the shelf customers we got. So for the leisure passengers, those are seeking for the lowest possible fare, GOL is keeping its competitive position in the market. But we are clearly focusing on more corporate customers.
Ricardo Alves - Morgan Stanley, Research Division: Okay. Just another quick one on the fuel efficiency, you mentioned in the presentation we saw this meaningful improvement. And you also highlighted the 18 or something like that, if I remember correctly, initiatives on this front. I just wanted more specific details, what are the examples you can share with us here on this significant improvement in the fuel efficiency?
Paulo Sérgio Kakinoff: Okay, as we have mentioned, we are working with GE and Blank [ph] I will -- let me give you a more detail on the last amongst those 18 initiatives, is implementation of the air entity AR procedure, it's a satellite navigation to GPS. By implementing that we can save, just in the shadow line connecting São Paulo to Rio de Janeiro, 8 minutes in every flight. So this is part of -- one of the 18 initiatives we have implemented with them. So they are -- those initiatives are bringing us a very material and important fuel saving.
Operator: Our next question comes from Stephen Trent at Citi.
Stephen Trent - Citigroup Inc, Research Division: Just 2 questions for me. The first is on the sale-leasebacks that you guys have done and you guys are planning to continue doing. We've seen other companies in the sector doing the same thing. In your view, what sort of is the main driver? Are you seeing actually the spreads on these transactions actually getting better or do you think as well maybe some carriers out there are trying to avoid residual value risk of owning as new aircraft products are in the pipeline?
Edmar Prado Lopes Neto: Steve, this is Edmar here. Choosing an acting finance for a sale-leaseback depends on a lot of stuff. Okay. Depends on the interest rate, depends on the price that the market is putting over a 737, depends on the lease price on the price that we have with Boeing. So there are many moving parts here. For 2014 and 2015, the analysis that we made took us to the sale-leaseback as a better offer for the time being. We think we are benefiting from the fact that the interest rates are very, very low for the last, the recent past. As well as the market for the 737 being, let's say, at least I would say not hot. So that's what took us to the current decision, which will be implemented until 2015, as I mentioned. For the planes, which are due from 2016 and on, is still undecided. It depends on our rating. It depends on the interest rates. It depends on the market. So it's early to say whether this is just going to be a long-term strategy. What we have said over the last years is that we are comfortable with the current split that we have between acting financing. There is financial leases and operating leases. We have 40 aircraft under the first one and roughly 100 over the other one. Okay?
Stephen Trent - Citigroup Inc, Research Division: Very helpful, Edmar. And just one other question. I saw your strategy on the shuttle flights increasing the seat pitch in sort of special seating areas and generally increasing the seat pitch. Could you remind me or refresh my memory, how many rows you took out of the airplane to get that done?
Paulo Sérgio Kakinoff: It's 2 rows.
Operator: Our next question comes from Bob McAdoo at Imperial
Bob McAdoo - Imperial Capital, LLC, Research Division: Just back to the question of international expansion. Because there are new stories that have come across as a result of the Portuguese, the conference call earlier. And the 5% to 8% that is talked about or as you refer to here, was high single-digit, mid-to high single-digits. That's a -- that's 5% growth in international and since international is what roughly 10%, that's 5% to 8% growth on that 10%, or not for 5% to 8% growth on the entire system but concentrated in the international. Just trying to understand what is trying to be said there?
Paulo Sérgio Kakinoff: It is just international.
Bob McAdoo - Imperial Capital, LLC, Research Division: So the impact on the overall system would be maybe less than 1%?
Edmar Prado Lopes Neto: Yes, that's correct.
Bob McAdoo - Imperial Capital, LLC, Research Division: Okay. So and then, and secondly, along that same general line. I'm trying to understand, if I understood what you said, the additional flights, that there are some of this might be additional flights in markets that you currently serve where there are profits and there are -- there's additional demand that is there to be served, and then some would be in potentially new markets that would have to be cleared with the adjustments or with clearance through the bilateral agreement process. The question then is the bilateral, those new things, are they tend to still though be within the confines of South America generally, some of the kinds of things that have been working that are just, what I would call may be transborder or across the border kind of stuff?
Paulo Sérgio Kakinoff: That includes Latin America markets and also United States.
Bob McAdoo - Imperial Capital, LLC, Research Division: So a piece of this may actually be expanding some of the kinds of things that you've been doing up through the Dominican Republic kind of thing?
Paulo Sérgio Kakinoff: Yes, yes.
Bob McAdoo - Imperial Capital, LLC, Research Division: But in general, it's 1% kind of thing in the overall system?
Paulo Sérgio Kakinoff: Yes.
Operator: [Operator Instructions] We have a question from Victor Mizusaki at UBS.
Victor Mizusaki - UBS Investment Bank, Research Division: Kakinoff. I don't know if you can comment a little bit about the Buy on Board performance. I mean, in terms of revenues and the cost savings and what else, the company's working on to improve and see the revenues going forward?
Edmar Prado Lopes Neto: Vic, the Buy on Board is a -- we have ramped it up in the first half of this year. We are not serving -- we do not have it in shorter flights, less than 1 hour flights, therefore the shuttle between Rio/São Paulo is not included. In terms of revenues, it's only marginal, to be very candid. It doesn't mean a lot of money on our ancillary revenues but it's very important on the cost side because it's avoiding cost, the vast majority of our flights nowadays. Okay? This is how we face it. And as I've been telling everyone, we are discussing simply everything here from the services, from the way we do the check in, the products we offer. So as Kakinoff mentioned, the GOL+ is a new product we have been discussing for a while. Now, it's an important step for 2014 in the way we attract passengers to fly with us. Okay?
Operator: [Operator Instructions] This concludes today's question-and-answer session. I would like to invite Mr. Paulo Kakinoff to proceed with his closing remarks. Please go ahead, sir.
Paulo Sérgio Kakinoff: So I just would like to thank, you, again for your attention and participation and reinforce that we are here available to any further information needed. Have a nice day. Bye-bye.
Operator: That does concludes GOL Airlines conference call for today. Thank you very much for your participation. And have a nice day.